Operator: Hello everyone thank you for standing by for the Everi Holdings Inc. First quarter 2016 Earnings Conference Call. [Operator Instructions]. And now I would like to turn conference over to Mark Labay, SVP Strategic Development and IR. Please go ahead.
Mark Labay: Thank you and welcome to the call. Joining me today are President and Chief Executive Officer, Mike Rumbolz and Executive Vice President and Chief Financial Officer, Randy Taylor. Before we begin, I would like to remind you that the Safe Harbor disclaimer in our public documents covers this call and our webcast. Some of the comments to be made during this call contain forward-looking statements and assumptions that are subject to risks and uncertainties, including but not limited to those contained in our SEC filing, all of which are posted within the investor relations section of our corporate website. These events could cause actual results to differ materially from those described in our forward-looking statements and as such, we would like to caution against undue reliance on these forward-looking statements. They should not be considered an indication of future performance. We do not intend and assume no obligation to update any forward-looking statements. You are cautioned not to place undue reliance on forward-looking statements which speak only as of today. In addition, this call may refer to certain non-GAAP measures, such as adjusted EBITDA and adjusted EBITDA margin. We reference these non-GAAP measures because management uses them in part to manage the business and to enhance investor understanding of the underlying trends in our business and to provide better comparability between periods in different years. We also make certain compensation decisions based in part on our operating performance, as measured by adjusted EBITDA and our credit facility and outstanding bonds require us to comply with the consolidated secured leverage ratio that include performance metrics substantially similar to adjusted EBITDA. For a full reconciliation of these non-GAAP measures to GAAP results, please see our earnings release and related 8-K, both of which are available with the Investor Relations section within our corporate website. Finally, this call is being webcast. Which may also be accessed within the investor relations section of our corporate website and a replay of the call will be archived. With that, I'm pleased to introduce our President and Chief Executive Officer, Mike Rumbolz.
Mike Rumbolz: Thank you, Mark and good afternoon, everyone and thank you for joining us. Before we discuss the quarter, let me touch on a couple of leadership matters. First, I would like to welcome Lin Fox to our Board of Directors. Lin's gaming industry experience will be extremely valuable to our Company as we look to grow both our game unit sales and our leased unit footprint for the remainder of 2016 and beyond. As noted in this afternoon's press release, Lin's appointment is in conjunction with the announcement that Fred Enlow has retired from the Board of Directors. On behalf of the Company and the Board, we want to thank Fred for his more than nine years of service to Everi, as a member of our Board of Directors. We wish him the very best in his retirement. I would also like to comment briefly on my appointment as the Company's permanent President and CEO. When I assume the interim leadership role at Everi in mid-February, I had a primary objective for the entire organization, leverage our product portfolio, industry experience and our compliance infrastructure to accelerate and maximize our long term Company-wide growth opportunities. In shifting from the Board to the interim leadership position over the last three months, I have been extremely impressed with the organization-wide commitment of Everi's employees to accomplish this objective. It's been a very enlightening three months and I'm excited to continue to lead our team to achieve our goals. Notwithstanding our first quarter results, I believe that we're in the early stages of achieving the progress that will ultimately unlock the enhanced value of our broad range of gaming and payment assets. I also believe that we're making progress towards realizing the additional value from the investments that were made throughout 2015 and so far this year. The senior leadership's mission-critical objective now is to provide the direction and the support needed to all of our team members, to accelerate the progress that we're achieving. Now, onto the results. The first quarter revenues were $205.8 million and adjusted EBITDA was $45.7 million. These results reflect the impact of lower year over year unit sales, largely related to the timing of the trials of our new Core HDX gaming cabinet in the 2015 fourth quarter and in early 2016. Results were also affected by a year over year decline in sales of integrated kiosks to our payments customers. Now while these results were essentially in line with our expectations, we believe they represent the low water mark for adjusted EBITDA this year. We expect to generate year over year and quarterly sequential improvement in the second quarter and we expect that the second half of the year will be greater than the first half of the year. These expectations are based on several key assumptions, first, that our unit sales will exceed prior-year sales in Everi quarter over the balance of 2016. Second, that our installed base will grow over the balance of the year, with our installed unit count at the end of 2016 being relatively flat to our unit count as of December 31, 2015. And third, that we will have improved quarterly sales of our integrated kiosks, when compared to the first quarter. Now, let me share some specifics that support our expectations. Starting with selling of more units. The approach here is pretty straightforward, enhance our product and increase the number of places where we sell games. Today the number of Core HDX trials that are currently underway is at historic levels. As many of you know, Core HDX is our first major new video cabinet in approximately eight years. It represents a significant improvement in player interaction, lighting effects and sound capabilities, over our existing cabinet. We've also developed game content that takes full advantage of the enhanced cabinet, while ensuring that our existing games also remain available on the Core HDX cabinet. Our customer reaction to this new cabinet has been favorable and the performance of initial units in the field has been very encouraging. We believe this bodes well for unit sales in the second quarter and the second half of the year. In addition to product enhancements, we're working to expand our distribution capabilities. Today, we announced the sale of 200 TournEvent units to the Alberta Gaming and Lottery Commission, beginning in the second half of 2016 and the placement of 50 of our premium revenue shared games. This is an example of our ability to leverage our long term payments relationship, to expand the reach of our games business. Now beyond Alberta, we have opportunities to further expand our presence in Ontario, as well as potentially entering several new Canadian markets in the near term. In Colorado, we have trials underway and expect to generate initial game segment revenue in the second half of the year. We also recently received our jurisdictional license from the Missouri Gaming Commission. We're now working to obtain GLI approval for our games in Missouri, after which we can begin trials in the state. We anticipate our initial game sales and/or lease revenue from Missouri in the fourth quarter. Turning to the installed base, where as I mentioned before, our expectation is that the installed unit count will rise throughout the year. This assumption is due in part to our entry into new markets like Alberta, continued positive performance of our Core HDX cabinet and an expectation that any additional reductions in third-party Class III games will be partially offset by the placement of our Class II games. Looking at kiosk sales, our expectation is for growth from 2016 first quarter levels, based on our current pipeline of potential sales. We expect this to occur, even though overall, annual sales will be down compared to last year, due to our existing penetration of this product within the casino industry. With that, let me turn the call over to Randy.
Randy Taylor: Thank you, Mike and good afternoon, everyone. First quarter 2016 total revenues were $205.8 million, comprised of $48.2 million in revenues from our game segment and $157.6 million in revenues from our payments segment. Games segment revenue decreased approximately 13% year over year and payments segment revenue increased approximately 3% year over year. Adjusted EBITDA for the first quarter was $45.7 million, a decline of $4.9 million year over year. Adjusted EBITDA for the games segment was $28.4 million compared to $30.6 million a year ago and adjusted EBITDA for the payments segment was $17.3 million compared to $20 million in the prior-year period. As described in our press release, we're no longer providing the non-GAAP measures of cash earnings and cash earnings per share. These measures were established when the Company was a payments-only business. We believe our statement of cash flow as presented in our press release and SEC filings provide the information that equity and debt holders need to assess our ability to generate cash for the repayment of debt which is our primary objective. In our games segment, gaming operations revenue decreased 2% year over year to $39.7 million. The prior-year period included $0.9 million of revenue from the operations of PokerTek which we sold in Q3 2015. Excluding the Q1 2015 revenue from the PokerTek operations, gaming operations revenue were flat compared to the prior-year period. This reflects a lower win per unit per day of $29.10, compared to $29.68 in the prior-year quarter and an overall decline in our installed base of 215 units, while our premium installed base increased 126 units. Compared to December 31, 2015, our installed base declined 383 units and our premium installed base decreased by 7 units. Partially offsetting the decline in leased game revenue was an increase in revenue from our New York Lottery operations of approximately $0.3 million compared to the prior-year quarter. At the end of the first quarter, our installed base was 12,957 units, comprised of 7279 units in Oklahoma and 5678 units outside of Oklahoma. The mix of our installed base by gaming type but was 7655 Class II units and 5302 Class III units. Of these 5310 Class II units, 1983 units were third-party Class III games. As discussed in our Q4 2015 earnings call, we renewed placement agreements for 1600 Class II units in Oklahoma, but we were unable to renew placement of a possibly 500 third-party Class III units. Approximately 100 of these third-party Class III games were removed in Q4 2015 and the remaining 400 units were removed in the first quarter. In total, our third-party Class III units declined by 571 units, compared to the year-end 2015, while across our entire installed base, we increased our Class II games by 230 units during the quarter, partially offsetting the decline in the third-party Class III units. Revenues from electronic game sales decreased to approximately $8.4 million for the three months ended March 31, 2016. We sold 432 units in Q1 2016, at an average sales price of $17,835, compared to 822 units sold in the first quarter of last year, at an average price of $16,498. Unit sales were negatively impacted by the timing of the trials of our Core HDX units in late Q4 2015 and early Q1 2016. The increase in average sale price was positively impacted by the sale of higher-priced Core HDX units which made up almost 30% of the sales in the 2016 first quarter. Higher-priced TournEvent unit sales comprised 16% of unit sales in the March 2016 quarter, compared to 24% of unit sales in the March 2015 quarter. We ended Q1 2016 with just under 270 units on field trial, actually 190% higher than the total at year-end 2015. This momentum has continued into the second quarter as we now have over 390 units on trial as of the beginning of May 2016, of which approximately 60% are Core HDX units. Additionally, over 330 of these trial units will reach their trial term period in the second quarter and should either convert to a sale, a lease payment placement or be removed and offered to other customers. In our business unit, sales are generally highly skewed toward the last month of the quarter, but we're currently pacing ahead of where we were at this point in Q2 2015. Overall adjusted EBITDA margins for the game segment improved to 58.9% for 2016 first quarter, compared to 55.5% in the prior period. The increase in margin is primarily due to the decline in game sales revenue as a percentage of total revenue, as game sales revenue had the lower margin than gaming operations. Gross margin on unit sales is approximately 45% for the 2016 first quarter, compared to 43% in the prior-year period. We expect adjusted EBITDA margin for the game segment to be in the 50% to 55% range for the full year of 2016. For our payments segment, the 3% year-over-year increase in revenue is primarily due to increased ATM transactions which includes the loss of a major customer in Q4 2015 and the acquisition of certain ATM portfolios in the third and fourth quarters of 2015. Overall, adjusted EBITDA margin for the payments segment was 11% for the March 2016 quarter, compared to 13.1% for the March 2015 quarter. The softness in the first quarter of payments' operating results was driven by several key items, first, we have seen an accelerated shift from signature transactions to PIN-based transactions. On our last call, we mentioned our accomplishment of becoming the industry's first end-to-end compliant cash access provider of payment solutions that utilize chip-enabled card acceptance or EMV. As part of this compliance initiative, we have deployed EMV compliant equipment and solutions on our integrated kiosks, cash access terminals, ATMs and casino cage equipment. Our upgraded equipment and patron familiarity with PIN-based transactions have resulted in a material volume shift to PIN-based debit transactions and a reduction in signature-based debit transactions because PIN-based transactions are more secure and the fraud losses experienced by our customers is less, the patron fee is generally set lower than the comparable signature-based fee. These lower per-transaction fees have resulted in lower revenue and a larger relative commission paid to our casino customers. The quarter was also impacted by approximately $1 million in one-time processing expenses and chargebacks related to EMV fraud activity from transactions occurring before we completed our EMV upgrades at all of locations. Another factor impacting our first quarter was lower sales of our integrated kiosks. Looking ahead, we have made substantial enhancements and investments in our suite of compliance product solutions. We had expected increased sales in our compliance products in 2016, but have had challenges with the upfront software sales. The initial sale of the compliant software is CapEx for our casino customers and they continue to manage the amount and timing of their CapEx budgets. We have a number of proposals outstanding with our casinos, but our ability to close these deals will depend on the casinos' willingness to spend CapEx in 2016 or wait until 2017. We still expect these higher margins solutions to benefit our payments business, but more of this benefit may be realized after 2016. Finally, same-store cash on the floor, our best indicator of industry trends, increased by approximately 6% as compared to the same period last year. Moving on to the balance sheet, our long term debt was $1.173 billion as of March 31, 2016. During the first quarter, we repaid $2.5 million on our term loan and in April 2016, we repaid an additional $14.3 million on our term loan, as required under our 2015 excess cash flow sweep, as defined in our credit agreement. We currently have no amount drawn on our revolving credit facility. Our weighted average interest rate and our long term debt was 7.66% for the first quarter of 2016. The three months ended March 31, 2016, we amortized $1.7 million of capitalized debt issuance cost into interest expense. As a result of our acquisitions in the third and fourth quarter of 2015 of two ATM portfolios and the assets of Resort Advantage, the payment of over $11 million in placement fees, primarily in the second quarter of 2016 to certain casino customers increased capital expenditures in the first half of the year related to Core HDX replacement units, new installed base units and trial units, we expect to draw down on our revolver before the end of the second quarter. The Company was in compliance with its debt covenants as of March 31, 2016. We have one maintenance covenant under our credit agreement related to our senior leverage ratio. At March 31, 2016, our senior leverage ratio out of the definition of credit agreement was under 4 times adjusted EBITDA, compared to a maximum senior leverage of 4.75 times adjusted EBITDA. Our maximum senior leverage ratio under the credit agreement reduces to 4.25 times adjusted EBITDA at December 31, 2016. The leverage ratio has further stepdowns in future years, as detailed in our credit agreement. For the purpose of this covenant computation, our credit agreement provides for up to $50 million in cash as a reduction to our outstanding secured debt, when computing our leverage ratio. As of March 31, 2016, our reported cash balance was $99 million which is in excess of the $50 million cash reduction limit. Based on our historical cash balances and the operation of our payment segment, we expect our cash balance at quarter end in future periods would also be in excess of $50 million. Our credit agreement definition of adjusted EBITDA treats interest expense on our Wells Fargo Cash Solutions agreement which relates to the provision of cash in our ATMs as an operating expense and therefore does not exclude this interest from the credit agreement's definition of adjusted EBITDA. We expect our interest on Cash Solutions agreement to be approximately $3.4 million for the 12 months ended December 31, 2016. As of March 31, 2016, our outstanding balance of ATM cash utilized by us from Wells Fargo was $291 million. This interest expense will be impacted by any increases in the three-month LIBOR, although we're able to pass a portion of this cost to certain customers through a reduction in commission payments, once LIBOR exceeds the contractual threshold. For the first quarter, capital expenditures were approximately $24.6 million. Capital expenditures for our games segment were approximately $21.4 million, of which approximately $11.1 million was associated with game refreshes, trial units and maintenance cost for installed base, net of trial units converted to sale in the period. Capital expenditures for our game segments also reflects a higher percentage of payroll and related development cost being capitalized from the new development studios and the introduction of Core HDX which resulted in additional leased units being replaced by the new cabinet in the first quarter, as well as the increase in trial units. We expect capital expenditures to be higher in Q2 as we will be funding the placement fees previously discussed, continuing to refresh our installed base and place additional trial units in the field. However, we expect capital expenditures to slow in the second half of the year, as we convert trial units to sales, reduce the number of trial units placed and manage the installed base replacement units. Regarding our integration activities, we continue to expect to achieve $30 million in run rate synergies by the end of 2016. In addition, we're focused on reducing costs in both games and payments, as we work to right size our expenses, consistent with our overall operations. Finally let me provide some color as to how we think about some other modeling metrics. We expect interest expense for 2016 will be approximately $101 million which includes our interest on bulk cash of approximately $3.4 million and approximately $6.7 million in non-cash amortization of capitalized interest costs. We expect the amortization of these non-cash interest cost to be roughly $1.7 million per quarter throughout 2016. We expect capital expenditures to exceed $85 million for the year and this amount will be impacted by our ability to convert trial units to sale units, the number of installed base replacement units and the placement of new installed base units. This also includes approximately $11 million in placement fees, as compared to $2.8 million for all of 2015 and roughly $12 million in capital expenditures related to our payments business. This will translate into amortization expense of approximately $92 million to $96 million and depreciation expense of approximately $49 million to $53 million in 2016. With that, let me turn the call back to Mike.
Mike Rumbolz: Thanks, Randy. Now before I open up the call for your questions, I'd like to briefly review the progress that we've made over the almost 90 days since I've joined the management team. As you may recall, we previously identified five strategic priorities, that we believe will drive future revenue and EBITDA growth, beginning later this year and accelerating in 2017. The first priority is to increase our product library and produce new games that enhance profitability and efficiency for our customers. We currently have game development studios in Austin, Chicago and Reno, making our development capabilities far greater than our output capacity in 2015. At this year's G2E, we will debut more new products and innovative technologies for our customers than at any other time in our history. Now at the same time, we're also focused on adding new features to key existing products. As an example, we have talked about enhancing our TournEvent solution. While other manufacturers are entering this space with their versions of our product, we believe that TournEvent will remain the tournament solution of choice. Later this year, we expect to unveil a new software upgrade package that will be offered to all of our existing TournEvent customers and provide some advanced features, as well as a new and exciting licensed branded tournament game. We will also continue to update our offerings within our payments segment. Including e-check redemption, an Everi giving module for our integrated kiosks and an Everi stored value card. These product offerings will continue to affirm Everi payments products as being best in class. Our next priority has been to increase our distribution capabilities. In this regard, we're applying additional discipline to the game approval process, to ensure that games move more effectively from the trial phase to the revenue phase. When we bring our new games, cabinets, payments and compliance products to market, we're having them initially approved in as many jurisdictions as is necessary for our wildest or widest rather and wildest, sales efforts. At a high level, some of the progress that we're making in this regard includes testing game themes on test banks, located throughout the United States. This enables us to more effectively improve and enhance our new game content, before it is released to sales. We're also utilizing increased analytics in our gaming operations business. We believe that these efforts, together with some additional strategies, will help us use our new game content, including for the first time licensed titles, our new cabinets and other products to improve the productivity of our customers. The third priority is our enterprise-wide cost analysis, with an eye toward operating efficiencies and cost containment. Over the last several months, we've identified several areas where we can right-size our cost structure and capital spend and we're beginning to implement those measures. Our fourth strategic priority is to develop games that leverage new licensed and branded properties. To date our games business has relied almost solely on proprietary content and in-house brands or in the case of some of our premium participation games, on brands that are already in the public domain, such as Moby Dick. And we've done a good job in turning some of our content into known brands of their own, such as TournEvent, Anthony and Cleopatra and Meltdown. With the a national footprint of licensed jurisdictions, we believe that the selective use of branded games can leverage the recognition and familiarity of that brand to increase both customer attraction and time on device. We're well underway with development of new games that utilize licensed brands. We plan to debut six to seven of these games at G2E this year. Our final strategic priority is to reestablish revenue growth, by increasing game sales and placements, through the integration of our games and payments products. We're working on methods that can give casinos additional patron value at all of their Everi gaming devices, through our e-wallet, Everi stored value card and ticket dispensing at our integrated kiosks. We continue to look at some additional innovative solutions and I will update you as we get closer to introducing these products. In conclusion, I'm excited about the progress that's been made since I stepped into the interim CEO role in February. Our progress to date and my expectation for additional improvements in our execution, gives me great optimism for our future. I know we have a great team of professionals across our organization, each of whom is dedicated to making Everi a great company and I appreciate their tireless efforts and dedication. We believe we have the right plan and the right people in place to create long term value for our customers and for our shareholders. And with that, I'll turn the call back over to the operator to open it up for your questions.
Operator: [Operator Instructions]. Our first question is from David Bain from Sterne, Agee.
David Bain : I had two questions on the payment space and then one gaming. First I just want to be on the EMV front so with these new roles you had to be compliant, you had to update machines and while you are non-compliant you had fraud liability so am I correct to assume EBITDA would've been $1 million higher if not for the one-time cost during the transition that you no longer have liability on the fraud front from the and that you are compliant in is there an opportunity to market that versus competitors?
Randy Taylor: I will answer the first question which is we still have fraud that will take place but we have processes in place to go back after any patron obviously in the casino environment there is cameras and we can capture a lot of stuff so it's never -- no fraud but to your point yes the million dollars is really a higher level cost and what happened is until all of the units were EMV compliant in the customer had an EMV card but did a swipe and they ultimately there was broad, the issuing bank pushed back and we had no recourse to recover the chargeback. So with all of our equipment now EMV compliant if you've got a pin card, a chip enabled card, chip card goes in there, if there is any fraud in that situation which would be limited it won't be our problem. So it was really that timeframe in which we finally got the remaining of the equipment rolled out and onto all of our equipment that we resulted in some fraud, a higher amount of fraud than we would've expected and now that's been corrected and we knew we had that issue going into this year until they were all converted.
David Bain: And just to follow up on that one, do competitors have that in place or are you guys the first to be compliant as far as you’re aware, is this something that can help you gain share or is it just something that we won't to again in terms of one-off charges?
Randy Taylor: I don't expect to see anything again to this magnitude one-off charges, it's hard to tell what all of our competitors are we know we're the first one that’s fully compliant, what stages they are in, I guess I really can't say. I think that if they're not their customers could see a lower amount of transactions because I don't know they would be doing because they would also be subject to higher fraud potential. So it's one of those things that we clearly market to our customers that we're compliant and that there should be no disruption or reduction in cash to the floor but I really can't say what our competitors are doing obviously nobody's public from that standpoint so it's really just us
David Bain: Okay and then last question on payments, I understand that the three and only one tech is only one segment of your portfolio geared to casinos and all those things together make you guys the leader and all that but with regard to the patent dispute, can you give us any update in terms of injunctions that you may have tried to get or customer feedback, any thoughts ahead of the appeals Board ruling?
Mike Rumbolz: I don't know if that there's anything more I can say on that to be honest with you David. We're continuing our position from a legal standpoint and we have the ITC which is still at appeals with the total panel and so there's really nothing I can update you on that other than we're still progressing forward with it and I expect I didn't talk about -- I mean there was a lot of litigation cost in the quarter, it was probably just over 100,000 we expect it to be less going forward than it was last year but we continue to think this is the right path and I just don't have any more details I can give you at this point.
David Bain: Okay. And have you heard any customer feedback and if your competitors are I guess it sounds like there's no injunction, are your competitors attempting to implement that technology in their space?
Mike Rumbolz: It really just depends until that my understanding is the patent has not been validated so although we've lost some positions -- well it's not be invalidated so somebody wants to go against it and we ultimately prevail we would have the ability to go back and they could be liable but it's really kind of their decision on what they want to do and it's hard for me to say what everybody is doing
Randy Taylor: David, just before judge has taken a position that's different than the patent office and there are still issues that are in front of the trial court at the federal level that the district court is going to end up hearing and so that will continue as well.
David Bain: Okay. And then just final one in gaming and I'm sorry I'll let others go but I'm trying to assess your forward win per day for your install base from 1Q and I'm trying to balance higher mix of Class II in Oklahoma versus Class III a broader-based in jurisdiction maybe new cabinet performance etcetera. Can you speak to one per day thoughts, the install base mix shifts and transition through the year in geography?
Mike Rumbolz: I really don't have that much of a drill down there. I know that the metric the people look at, I don't part of it is some of the units that we replaced putting out our new units, how they are performing. I just really don't have a specific for you David on that as to why it came down the quarter to be honest--
David Bain: Going forward from here though would we expect stabilization, at least is your guidance in for stabilization and win per day back to regular seasonality?
Mike Rumbolz: I think it will be more on a regular seasonality, yes.
Operator: And we will take our next question from David Katz with Telsey Group.
David Katz: So G2E and trying to think forward to the notion that there's going to be quite a bit more product that we're going to see from you all, if you could imagine it from our perspective as we listen to the other companies talk about what they're doing, we certainly don't assume that anyone is standing still and so you know everyone says wait till G2E we’re going to have some, a lot of great stuff this year. We know in the context that volume isn't necessarily the answer. At what key capabilities would you point to or key competitive advantages would you put to, what you point to in the game product department irrespective of TournEvent that you think we should look out for or what is your overall strategy around that?
Mike Rumbolz: Well you know prior to -- and you're absolutely right, David, I mean manufactures of devices almost always point to G2E because they don't want to give away necessarily their product strategy prior to unveiling it to their customer base if at that show. But at the end of the day we have married number of products that are currently in the field, that are currently doing well and we believe we will continue to increase our footprint. We have Everi [indiscernible] which is currently out in multiple jurisdictions both as a purchased product as well as a leased product that allows slot for managers to more effectively manage slot for by changing the genome or the number of wagers within a game and do not change the number of lines that are played by the customer or the volatility or map model that underlie the game itself. That's up as one of the most innovative products of the year from one of the gaming publications. We also with the Core HDX we have a variety of titles that are doing some are doing significantly better than house average others are doing better than house average that are already in the marketplace that we're currently selling. On the payment side, there are products that we're introducing over the course of the year that will be available for customers before G2E and we will start spreading around the country to increase the either the stickiness or the profitability of our payments contracts in the gaming industry so there's a lot of things that are going to be happening we're not simply waiting for G2E to -- the reason I referenced that in the prepared comments is that it is where we will show for the first time licensed brands on any of our boxes and so for that reason, it's important for us to show it off as a showcase for that.
Operator: And we will take our next question from George Sutton with Craig-Hallum.
Unidentified Analyst: This is [indiscernible] on for George Sutton. So I wanted to talk a little bit about the mix in the quarter, so TournEvent specifically was down a little bit year over year so if you have any commentary on that and then I believe if I’ve my numbers right you said 30% Core HDX in the quarter but that 60% of the pipeline so just if you have any perspective on what you expect that mix to shift to and as we look out a quarter or two?
Mike Rumbolz: Jason, as we’ve talked, we continue believe TournEvent is a great product for us but it has been as a percent of our total sales has been coming down and we kind of expect that going forward and although we obviously announced the Alberta deal which is a significant amount of TournEvent machines so we still think that 20% range 15% to 20% range for TournEvent should hold and maybe more when the Alberta hits. As far as the mix going forward I mean again we talked about the timing of when the new cabinet got out, so only 30% in Q1 seems kind of the right mix but clearly our expectation is that Core HDX will be a larger percentage of sales going forward whether it will be 60% or not I don't know that's really the overall trials that are out there some of which will obviously go to leased units and some which will be sales but I would think that this is our new cabinet, our new video cabinet and it will make up a higher percentage of our sales going forward.
Unidentified Analyst: Okay. And then a couple of quarters ago you talked a little bit about the ship share trends that you are seeing in the market and just wondering if you had any updates on your current share?
Mike Rumbolz: I don't think to really any change in our share obviously with the disappointing sales in Q1, I'm not sure you can really look to that for this quarter. I still think we're in the low single-digit ship share and there really wasn’t any new openings that -- I think what we also talked about back then was our percentage of the newer openings. So I don't think I have much to change on the ship share percentage.
Unidentified Analyst: Stepping back just a little bit, so a more robust pipeline of new gaming titles and you talked about that a lot and we can see some of that in some of our work, can you give us just an idea of the timeline for as these games are developed what is the timeline for these actually contributing to results?
Mike Rumbolz: Are you talking about the licensed and branded games?
Unidentified Analyst: Well just the development team, so you ramped up the development team so just all of your new titles overall.
Mike Rumbolz: We’re going to probably produce as many or more titles this year as the company has ever produced and as those titles go out obviously we expect a large portion of those to be at or above house average and therefore be popular with our customers as either purchase or lease games. There will be a percentage of them that may not make it or may not be as effective as we thought they should be which will result in some disappointments we will pull those back and hopefully we now have the ability with our test banks to go through a lot of that pain or disappointment in the games ability to produce while it still out on test on those test banks and make modifications either on-the-fly or bring it back in, make modifications in-house and then take it back out for additional testing. But I would anticipate that over the course of the rest of this year is when you're going to see whether that new title production is working and working the way we expect it.
Randy Taylor: And Jason to some extent that also helps you to maintain your install base, so if you have some games out there that aren't performing as Mike said the house average you can go out and install a newer games and see the reaction there because the real goal is to keep as many install base as you can, so it's kind of a one helps to keep your install base, two helps you to expand your install base and three hopefully will be for sale. So it's not that easy for me to kind of parse it out for you but without that, you would quickly you'd quickly have issues with all three of those items.
Unidentified Analyst: And just the last for me, so this goes back a couple of years but there's been more discussion in the marketplace about online gaming looks like it's potentially making a resurgence and maybe picked up in some additional states this seem to be an opportunity for you guys a couple years back and just wondering do you still see an opportunity for online gaming or have you really reduced the focus and aren't targeting that industry at all?
Mike Rumbolz: No, I mean certainly we have something that is valuable in the online gaming industry and that's content and it's something that the online gaming companies are always looking for and as a result, we've been looking at ways of improving the cost model around our making that content available in the online space to others to use and exploit it. In addition as we look at online, we look at whether or not there's the opportunity to get involved on a limited basis in the joint venture manner and in some other manner but at the current time we have no intention of taking our own taking up our own website or operating our own online gaming operation if that's where you are headed with that
Operator: And we will take our next question from John Davis with Stifel.
John Davis: First, I just want to start on Missouri seems to me really exciting seems like it happened faster than you maybe had anticipated on the last call and certainly than we were anticipating, do you have any stats or metrics that you could kind of help us work on what it looks like when TournEvent enters a new sizable gaming market just trying to get some sort of feel for what potential game sales or what the market opportunity could be because Missouri's a fairly sizable market.
Mike Rumbolz: Well to be honest with you John, I don’t know that I’ve that we put in together as to how much potential would be in Missouri altogether, we obviously know that there are some corporate customers that have had our product before that we think we can sell into but really lay out how many game sales are coming out of Missouri I mean right now it really kind of depends on how many get out there and trial like in Colorado we’re starting to see that, I mean we probably got 80 or so 80 almost goes to a 100 units in Colorado either through trials and potentially placements or sales, the other thing is will they sale or will they lease, although TournEvent will primarily be the sale. So that kind of gives you little bit of idea to obviously Missouri being much bigger but I don't think we really scoped out what the overall--
Randy Taylor: Yes, we haven't really track penetration rates when it comes to TournEvent into a marketplace. I mean we have rough numbers of overall penetration rates but that really doesn't break out by product.
John Davis: Okay and then just finished on licensing side from a gaming license perspective, I guess, is there anywhere else that we’re still waiting for license, obviously Colorado, Missouri, is it West Virginia just anything else that I'm not thinking about their from a licensing perspective?
Mike Rumbolz: I think all of the ones that the Company has spoken about but that being we have licenses in every single location as you know John, many Native American casinos are single locations and therefore single license but we believe that our national footprint today is significantly larger and allows us a much larger market to sell into than we had in 2015.
Randy Taylor: There is still a couple provinces up in Canada, John as well that we don't have yet. How big they are -- maybe not that big but there are a few up there as well.
John Davis: Okay. And then also just wanted to hit on the ASP, it seems like TournEvent mix isn't all that different year over year. It's up pretty significantly in kind of bucking the trend of what we've kind of seen over for the last couple of years, I guess of declining ASPs not only for you but the industry anything to call out there, is that the Core HDX cabinet is higher sales price and you’re getting more mix there, is that what's driving or anything due to call out?
Mike Rumbolz: No, that really is. I mean like I said on the notes I mean about 30% of our sales were Core HDX there was still against the unit count not exciting obviously for us in the quarter but you know that could translate into future quarters, it should be good on a ASP as well. So 30% there and then still the TournEvent units between the two of them I think really kind of help drive up the overall ASP.
John Davis: So as we think about Core HD being a higher percentage so you said it 60% of trials are only 30% this quarter, so should we read that as ASP could trend modestly higher throughout the back half of the year?
Mike Rumbolz: No, I mean I would like to say that I would say hopefully it will maintain right because the more you start getting out there we will probably get some pushback but, yes I would hope that we can at least maintain the ASP that we have got and if there is a bigger mix it should be better.
John Davis: Okay. And then maybe quickly on Alberta, very positive obviously to see the initial order their of 200 TournEvent and 50 placements, is that more or less kind of an initial order for them and they want to see how -- I know they've had them on trial but how they will perform and there's potential for more because I think there's 28 casinos just help me frame that a little bit.
Mike Rumbolz: Well I mean yes, I think there are 28 casinos obviously 200 TournEvent units means they've got them spread out for the 28 I mean and then with the lease games. So we still think there's going to be opportunity in the future but the big piece is to get the TournEvent there and then let them see how those units perform as well as the lease games I think that's helpful for us as well because they can see how those units perform and then we should be into their next, they have kind of cycles of capital and so we got into the TournEvent that was the big thing get our TournEvent product there but I think we clearly believe that there is more possibility or room in the future there.
John Davis: Okay and then maybe quickly on win per day not trying to nail you down to a specific number but would Canada look more like the win per day outside Oklahoma or somewhere in the middle? I know you guys don’t break down anymore but--
Mike Rumbolz: You know some of that it wouldn’t necessarily be comparable to a particular U.S. market because you got to look at the foreign-exchange issues and the impact that has on it, when we're at par then you can really related to specific markets but as it fluctuates it's very difficult to compare, give you a comparator. So to some degree I think you need to model that on its own, John, Canada as a separate unit.
John Davis: And last one for me, Randy, maybe quickly, I think you did a nice job laying out some of the puts and takes on the payments margin earlier but I just want to make sure that I have everything right. So it was like 13.2 year ago quarter I hadn't calculated 11.6 adjusted for the $1 million fraud for EMV. Maybe just walk through again what the puts and takes are the 100 to 150 basis point year over year compression.
Randy Taylor: Yes, the other item would've been the other or in the kiosk sales so that number being, again that margin be much better than your overall margin. So I think we were if you look at the other revenue in the press release I think it's showing about 2.7 million down so that margin will be probably 50% margin in prior periods so that margin will bring your overall margin down and then just as I talked about the shift in the ATM revenues up and it provided EBITDA it's again be a lower margin. So between that and I think the other is really kind of what drove down that overall margin.
John Davis: Okay, so we think about it kind of on a go forward basis starting point of 11.6 you should have a little bit higher kiosk sales, so it should be relatively stable may be slightly up through the remainder of the year is that the right way to think about it?
Randy Taylor: That’s correct.
Operator: And we will take a follow-up from David Katz from Telsey Group.
David Katz: Number one, I do want to register my proper manners, yes congratulations on your decision. But I wanted to go back to the product question and look at it in terms of Class II and Class III and how the allocation of resources and thought is being split and as well what are you finding from customers that they really asking you for and I suppose part and parcel of the question I was asking before is where are the holes in the market that you expect to fill?
Mike Rumbolz: Is a great question, David, part of it in all honesty reaches pretty deeply into our sales strategy, into areas that I may not want to discuss on a public forum because it's proprietary but as a general, I mean to answer your question as we look at game development. We're constantly looking at developing games that are that play with a very similar look, feel and enjoyment for the customer in both Class II any Class III and to the extent we can do that using the same title, the same kinds of symbols, the same sort of graphic environment that a player becomes enveloped into in both the Class II and Class III markets, then we have done our job and we've done the best we can. So part of what our strategy will be going forward is to fill in some holes in Class III where they don't have as many in my view as many well-developed homegrown titles that are currently in Class II markets that can then be found by people when they either visit or vacation in a Class III market. As you know, the way America is spreading out most population centers are within a 50 mile of casino operations and that becomes their home operation. If that's a Class II operation, then one may take their trip for the year or multiple-trips for the year to destinations that include gaming and that have Class III gaming you would want that Class III to have the same titles, the same look and feel and have those machines available in a Class III market and that’s certainly is one of the niches that we believe we can fill and fill better than others.
David Katz: Right. Okay and if I can ask just Randy for one detail of which you gave many, would you just mind telling me again the CapEx for the quarter was what, and did you give us some guidance for the year?
Randy Taylor: I did, I gave both 24.6 million for the quarter and 85 million overall but again a lot of information around that really relating to the installed base trial units, it's one of those things where as trials turn to sales, they start out as a CapEx and come back out some. So I wanted to give some parameter around it but it will fluctuate depending on how successful we're and whether they end up being a lease footprint or an ultimate sale.
Operator: And that does conclude our question-and-answer session. At this time I would like to turn things back to Randy Taylor for any additional or closing remarks.
Randy Taylor: Just like to thank everyone and look forward to join the [ph] call this afternoon and we look forward to discussing further progress of our business when we report our second quarter 2016 results. Thank you
Randy Taylor: Thanks everyone.
Operator: That does conclude today's conference. Thank you for your participation.